Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Globus Maritime conference call on the First Quarter and Half Year 2014 Financial Results. We have with us Mr. George Karageorgiou, President and Chief Executive Officer and Mr. Nikos Kalapotharakos, Financial Controller of the company. At this time, all participants are in a listen-only mode. There will be presentation followed by a question-and-answer session. (Operator Instructions). Please be advised, this conference is being recorded today, on Thursday, September 11, 2014. This communication contains forward-looking statements as defined under U.S. Federal Security laws. Forward-looking statements provide Globus' current expectations or forecast of future events. Forward-looking statements include statements about Globus' expectations, beliefs, plans, objectives, intentions, assumptions and other statements that are not historical facts or that are not present facts or conditions. Words or phrases such as anticipate, believe, continue, estimate, expect, intend, may, ongoing, plan, potential, predict, project, will or similar words or phases or the negatives of these words or phases, may identify forward-looking statements, but the absence of these words don't necessarily mean that a statement is not forward-looking. Forward-looking statements are subject to known and unknown risks and uncertainties and are based on potentially inaccurate assumptions that could cause actual results to differ materially from those expected or implied by the forward-looking statements. Globus' actual results could differ materially from those anticipated in forward-looking statements for many reasons specifically as described in Globus' filings with the Securities and Exchange Commission. Accordingly, you should not unduly rely on these forward-looking statements, which speak only as of the date of this communication. Globus undertakes no obligation to publicly revise any forward-looking statement to reflect circumstances or events after the date of this communication or to reflect the occurrence of unanticipated events. You should, however, review the factors and risks Globus describes in the reports it will file from time to time with the Securities and Exchange Commission after the date of this communication. I will now pass the floor to your speaker today, Mr. Karageorgiou. Please go ahead, sir.
Georgios Karageorgiou: Thank you, operator. Welcome to our conference call, and thank you for joining us today to discuss Globus' operating and financial results for the three months ended June 30, 2014, and the first half of 2014. I am George Karageorgiou, President and CEO of Globus Maritime, and with me today is Nikos Kalapotharakos, our Financial Controller. For those of you that just joined, please note that we have posted a slide presentation for this conference call, which you will be able to download the PDF by clicking on the banner titled, Second Quarter Earnings Conference Call, located on the homepage of our website. The same presentation can also be accessed from our Investor Relations page under the Webcasts and Presentations menu. Let me quickly refer everyone to slide two, which contains the disclaimer about any forward-looking statements, which should be noted in the context of this conference call. Let's start with slide four that highlights our performance. Our net loss for the quarter came to approximately $1.2 million. This number includes a $1.7 million impairment charge that we had to take on the value of the vessel Tiara Globe that is held for sale in our books and as such, we have to mark it against its marketed value every quarter until its sale. If it wasn't for the Tiara Globe impairment charge, our net income for the quarter would have been $473,000. Our gross revenue was approximately $7.2 million, while our net revenue was $6.1 million. Our EBITDA was approximately $2.7 million and our average TCE rate was $9,189 per day per vessel while our operating expenses came at $5,000 per day per vessel. Our fleet utilization rate reached 100% as we did not suffer from any unplanned stoppages. Looking at the first half numbers. We closed the half year with a loss of $159,000. Again if we exclude the Tiara Globe impairment charge, we would have reported an H1 net income of $1.5 million. Our gross revenue was $14.6 million, while our net revenue was $12.3 million. Our EBITDA was approximately $6.1 million and our average TCE rate was $9,218 per day per vessel while our operating expenses came at $4,561 per day per vessel. Our fleet utilization rate reached 99.9%. Moving on to slide five, our operating highlights, you will see that the company's fleet has remained at seven vessels with the Q2 numbers being 637 ownership days, 619 operating days, 91 days of bareboat income and utilization of 100%. For the first half numbers, we have 1,267 ownership days, 1,249 operating days, 181 bareboat income days and utilization reaching 99.9%. On the expenses front, we continue to produce excellent results. Although the quarterly figure came in at $5,002 per day per vessel, affected by the volatility of the purchasing cycle, the half year number which is more indicative remains at $4,561 per day per vessel. Moving on to slide six, you will see our fleet and its employment profile. Since we have not made any changes, we remain at seven vessels with a total carrying capacity of 453,000 tons and an average age as of June 30, 2014 of 7.6 years. You will notice that five vessels trade in the spot market and two are the time charters. During the second quarter, we also dry docked the Moon Globe and we expect that we will have one more drydocking that of the Sky Globe until the year-end. At the moment, our time charter cover for the remaining of the year is approximately 30% and almost zero for 2015 as the two long term charters that we have, come to their expiry. (Inaudible) 2015 cover by fixing some of our spot trading vessels in medium term charters if the market gives us the opportunity between now and the year-end. Slide seven and eight depicts the current spot market conditions, how the Baltic dry indices have performed lately and the main reasons why we expect a stronger fourth quarter. The first half of 2014 has remained challenging for ship owners due to the over supply of tonnage that has evolved in the last five years as net fleet growth during the period overwhelmed the increase in cargo volumes. Yesterday, the BDI closed at 1,197 points with Capesize spot earnings of around $18,464 per day, while the 2014 average is $13,328 per day. Panamax spot earnings are around $7,352 per day, while their year-to-date average is a little bit lower at $7,160 per day. Supramaxes continued to outperform the Panamaxes with spot earnings around $10,493 per day, while their 2014 average is $9,394 per day. Handys find employment around $6,995 per day which is lower than their year-to-date average of $7,680 per day. Even though average spot fleet earnings for this year are close to those of 2013, it seems that we are starting to see signs of a strengthening recovery in the global economy. And when viewed together with the lowest net fleet growth of the last decade, we have an optimistic picture with favorable fundamentals for a stronger Q4 and a better 2015 relative to 2014. Our optimism is also reflected in the FFAs for Q4 with forward rates trading at significant premium to spot rates while the forward rates for 2015 onwards are stable at approximately a 10% premium to today's spot market. The reasons why we and the market expect a stronger fourth quarter are five in our view. The most important one is the anticipated seasonal increase of iron ore exports from Brazil which significantly affects the ton mile demand for Capesizes. The second reason has to do with the significant reduction of the Chinese hydropower generation. As we move away from the summer that is the peak of the hydropower generation production cycle, the demand for thermal power generation should increase and thus increase the demand for coal resulting in a possible rise of coal imports. The Indian coal imports is the third reason as we expect them to rise further as the country is taking emergency measures in order to prevent a shutdown of nearly one-third of India's thermal power plants that have coal stocks of less than four days situation that was last seen in one of the worst blackouts back in 2012. The fourth reason has to do with China's eventual return to the market for minor metal ores as the stocking up that took place during the second half of last year ahead of Indonesia's minor metal ore export ban, is more or less consumed and the inventories of minor metal ores will become exhausted at some point soon. And last but not least, the record levels of outstanding U.S. grain sales this early in the season points towards an intense and prolonged export season that's benefited the Panamaxes and Supramaxes. Before ending my part of the presentation, I want to leave you with a grasp of page nine that shows you how the 2014 spot rates compare to the rates of the last five years. Nikos will now take over in order to discuss our financial results in more detail before I return in order to answer any questions that you might have.
Nikos Kalapotharakos: Thank you, George. I would like now to discuss in more detail the financial results of the company for the second quarter of the year 2014, which should be read in conjunction with the details that appear on pages seven, eight, nine of yesterday's press release. So let's turn to slide number 10 which corresponds to the company's statement of comprehensive income for the period. Early results and operational highlights mentioned can be found at slide number four, while at slide number 11, you will find a graph representing a variance analysis with respect to the second quarter of 2014 compared to the same period last year. During the three month period ended June 30, 2014, our revenue increased by approximately 6% reaching $7.2 million versus $6.8 million during the same period last year, mainly due to a 4% increase in our operating days from 593 days during the second quarter of 2013 to 619 days during the quarter under discussion. Voyage expenses increased by $0.1 million to $1.1 million during the second quarter of 2014 from $1 million during the respective period last year. It should be noted that during both quarters, voyage expenses included approximately $0.7 million [affiliated] [ph] to the cost of bunkers consumed during periods that our vessels were traveling seeking employment. Consequently our time charter equivalent rates during the second quarter of 2014 reached $9,189 per vessel per day versus $8,838 per vessel per day during the respective period last year corresponding to an increase of 4%, in line with the increase in our revenue as already discussed. Vessel operating expenses for the second quarter of 2014 amounted to $2.7 million or $5,002 per vessel per day versus $2.6 million or $4,791 per vessel per day for the same period last year corresponding to an increase of 4%. It is important though to note that we should base our conclusions on longer periods of time which we believe are more representative of the company's performance rather than on a quarter-over-quarter basis. For example, daily operating expenses for the 12-month period ended June 30, 2014 were $4,693 per vessel per day versus $4,652 per vessel per day for the same period ended June 30, 2013 corresponding to a slight increase of about 1%. Total administrative expenses amounted to $0.6 million for the second quarter of 2014, versus $0.7 million during the same period last year. This figure includes administrative expenses payable to third-parties, administrative expenses payable to related parties and share-based payment expenses. The decrease in administrative expenses is mainly due to a decrease in share-based payment expenses which is a fact that there is no share-based payment plan currently in effect. Adjusted EBITDA for the second quarter of 2014 amounted to $2.7 million against $2.5 million for the same period last year, corresponding to an increase of 8%, mainly attributed to the increase in our revenue. Deprecation and amortization expense for the second quarter of 2014 decreased by $0.3 million and amounted to $1.7 million versus $2 million recognized during the respective period last year, corresponding to a decrease of 15%. This figure includes depreciation expense with reference to the vessel's cost, depreciation of drydocking costs and amortization of the fair value of time charters attached to the vessels Moon Globe and Sun Globe acquired during the second half of the year 2011. The decrease in the deprecation and amortization expense is mainly attributed to the expiration of the time charter attached to the vessel Moon Globe during June 2013. Now during the second quarter of 2014, we have recognized an impairment loss of $1.7 million versus $1 million recognized during the same period last year, both corresponding to the change in the fair value of the vessel Tiara Globe which is classified as held for sale since December 2012. Interest expense and finance costs decreased by $0.4 million to $0.5 million during the second quarter of 2014 from $0.9 million during the respective period last year, mainly due to the termination of our five year swap agreements during November 2013 and the sharp decrease in our average bank debt outstanding. As a result of the aforementioned, we had a net loss of $1.2 million for the second quarter of 2014 versus a net loss of $1.1 million for the same period last year. Net loss for the period, though, is adjusted for the impairment loss recognized. It becomes a net income of $0.5 million for the second quarter of 2014 versus a net loss of $0.1 million for the same period last year. Let's now turn to slide number 13, which corresponds to the company's cash flow statement for the period. Net cash generated from operating activities during the second quarter of 2014 amounted to $4.5 million against $3.2 million during the same period last year, an increase mainly attributed to our effective working capital management. Net cash used in financing activities during the quarter under discussion amounted to $5.9 million and consisted of approximately $5.4 million of scheduled loan installments, $0.5 million of interest and other finance costs paid, approximately $0.2 million of preferred dividends paid during the period less $0.2 million net proceeds drawn from our shareholders' credit facility. Now if we turn to page 14, you will find information on our liquidity position as of the end of the quarter under discussion. As of June 30, 2014, our cash balances amounted to $5.7 million and our outstanding debt amounted to $85.5 million gross of unamortized debt discount, resulting in a net debt figure of $79.8 million while at the same time we have an undrawn amount of $1.8 million available with respect to our shareholders' credit facility. Our net debt to total capitalization ratio is 54.9% as of June 30, 2014 against 56.4% as of December 31, 2013 and 59.3% as of June 30 last year. We expect or estimate, if you want, our leverage ratio to decrease further to about 50.3% assuming the effect from possible sale of the vessel currently held for sale and of course keeping all other things equal. Now with respect to developments on our new liquidity requirements. While during the second quarter of 2014, we expect to permanently reduce the minimum liquidity requirement with respect to our credit facility to $5 million instead of $10 million required under the original loan agreement, subject to certain restrictions on dividend payments outlined in our yesterday's press release. And in addition, DVB bank agreed to temporarily reduce its minimum liquidity requirement to $5 million as well instead of the lesser of $10 million and $1 million per vessel owned by the company effective until the end of the current year. As of June 30, 2014 we were in compliance with all covenants arising from our loan credit facilities. Now with respect to our anticipated capital expenses. One vessel, namely Sky Globe is expected to be drydocked until the end of the current year. I would like now to turn the floor to George so we can move on to the Q&A section.
Georgios Karageorgiou: Thank you, Nikos. Operator, can you please open the floor to questions?
Operator: (Operator Instructions). Your first question comes from the line of Nicholas Bender from Wunderlich Securities. Please go ahead.
Nicholas Bender - Wunderlich Securities: Good morning, George. Good morning, Nikos. How are you?
Georgios Karageorgiou: Hello, Nicholas. How are you?
Nicholas Bender - Wunderlich Securities: Very well. Thank you. You guys once again alluded to the fact that hopefully this little bit of strength we see in the market in recent weeks gives you the option of perhaps locking in some medium term type charters potentially as we move into the fourth quarter. Can you give a little more color on that just in terms of both the length of charter you are looking for and how much confidence do you have that charter rates will get to your targeted level, let's say, before the end of the year? Just given that obviously there is a lot of pretty robust optimism about the fourth quarter but certainly still concerned about the beginning of 2015 to some extent.
Georgios Karageorgiou: Correct. This is why, as we said earlier, we are looking for some hedging. This is why we are anticipating that within the next three, four months, we will obtain the opportunity - the market will give us the opportunity to fix a few of our vessels, two or maybe three, out of the seven, in medium term charters. When I am talking about medium term, I am talking about charters that extend 12 to 14 months. We believe that the market will give us the opportunity closer to October or perhaps November, when seasonally it's the strongest part of the BDI in order to help us and secure rates that are above $10,000 a day for at least two or maybe three of our vessels.
Nicholas Bender - Wunderlich Securities: Okay. That's very helpful. And then, certainly you guys have done a good job but just systematically sort of reducing leverage, where the market is today, do you give any thought to additional fleet expansion or perhaps, I know we have talked in the past about potentially selling the Tiara Globe at some point, obviously it’s held for sale on the books and moving into a newer vessel, a different vessel, a newbuild or an attractive secondhand vessel. Can you just talk about if there is any plans with the fleet outside of the current seven vessels?
Georgios Karageorgiou: You are absolutely correct. As you know, we intend to sell the Tiara Globe. It is held for sale in our books and we are seeking a buyer. And we plan to replenish it -- replace it, sorry, with some modern units. We are also looking at the Ultramax resale market and we have already engaged into some discussions about the possibility of doing or expanding in that sector within the next six months. So we are looking at Ultramax resales, eco build vessels and that will happen immediately after we sell the Tiara Globe, hopefully between now and the year-end.
Nicholas Bender - Wunderlich Securities: Okay. All right. Thank you very much. I appreciate it.
Georgios Karageorgiou: Thank you, Nicholas.
Operator: (Operator Instructions). We seem to have no further questions coming through gentlemen. I would now like to pass the floor back to sirs for any closing remarks. Thank you.
Georgios Karageorgiou: Well, I would like to thank anyone who participated in this call, and I am looking forward to speaking to you in about three months time when we will report the third quarter financial results. Thank you very much.
Operator: Thank you. Ladies and gentlemen, that does conclude our conference for today. Thank you all for participating. And you may now disconnect.